Operator: Greetings and welcome to Bloomin' Brands Fiscal Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow management’s prepared remarks. It is now my pleasure to introduce your host Mr. Mark Graff, Vice President of Investor Relations. Thank you. Mr. Graff, you may begin.
Mark Graff: Thank you and good morning everyone. With me on today's call are Dave Deno, our Chief Executive Officer; and Chris Meyer, Executive Vice President and Chief Financial Officer. By now you should have access to our fiscal second quarter 2019 earnings release. It can also be found on our website at bloominbrands.com in the Investors section. Throughout this conference call, we will be presenting results on an adjusted basis. An explanation of our use of non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures appear in our earnings release on our website as previously described. Before we begin formal remarks, I'd like to remind everyone that part of our discussion today will include forward-looking statements including a discussion of growth strategies and financial guidance. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from our forward-looking statements. Some of these risks are mentioned in our earnings release, others are discussed in our SEC filings which are available at sec.gov. During today's call, we'll provide a recap of our financial performance for the fiscal second quarter 2019, an overview of company highlights, and a discussion regarding progress on key strategic objectives. Once we've completed these remarks, we'll open up the call for questions. And with that, I'd now like to turn the call over to Dave Deno.
Dave Deno: Well, thank you, Mark and welcome to everyone listening today. As noted in this morning's earnings release, adjusted second quarter diluted earnings per share was $0.36 and combined U.S. comp sales were up 0.6%. This represents the seventh consecutive quarter of positive U.S. comp sales. Importantly, we also took market share as we outperformed the industry on both sales and traffic. A large part of this continued momentum is due to the progress made behind our strategic investments and relentless focus on core execution in the restaurant. Our focus remains on investing in food and service enhancements to improve the customer experience. To help accomplish this, we invested over $50 million over the past three years. These investments were prioritized towards customer-facing improvements. This included food quality, portion enhancements, service and labor investments, and efforts to reduce complexity in the restaurant. In addition, we invested over $400 million in remodels to contemporize our brands and improve curb appeal. Consumers have taken notice as it has shown up on our improved brand health measures. In addition to improving our core dining experience, we pursued incremental levers to accelerate growth across off-premises, loyalty, and digital. These are paying off and contributing to our success and efforts to gain market share. The strength of these levers have also enabled us to make tactical decisions to improve the long-term health of the business. This included an opportunistic 21% year-on-year reduction of discounts in the second quarter at Alpek. We chose not to replicate some value-oriented promotions despite a heightened competitive environment. While it did have an approximately 100 basis point negative impact on traffic, it had a positive impact on profitability. We will be agile in our approach to building healthy profitable sales across the portfolio. In addition to building healthy sales, a key element of our ongoing strategy is to improve operating margins. During the second quarter, adjusted operating income grew 20% and adjusted operating income margins were up 80 basis points year-over-year on a comparable basis. This represents the third consecutive quarter of significant margin growth at Bloomin' Brands. And importantly, we are just getting started in growing our margins. We expect much more to come. Our sustained progress on operating margin reflects a few key items. First, we are reaping the benefits of our ongoing monetization of the investments made over the past three years. This benefit is showing up in comp sales. Second, we continue to opportunistically reduce the portfolio's reliance on discounting. Third, we have maintained disciplined cost management across the company. And finally, our Brazil business is among the best in casual dining with strong sales and margin growth. Overall, we feel great about our progress towards becoming a more effective and efficient restaurant company. We are on track to achieve our 2019 operating income margin commitments. I want to also thank the over 90,000 team members in the field that make our restaurants so successful. Your passion, hospitality, and dedication to always bring the customer first is making a difference every day. I would also like to thank my colleagues in the restaurant support center who provide great service to our partners. Now, turning to Outback. Outback comp sales were up 1.3% in the second quarter on top of an already strong 4% increase in Q2 2018. This is Outback's 10th consecutive quarter of positive comp sales. As we mentioned earlier, we pulled back on discounts at Outback in the quarter. This had an estimated 100 basis point impact on traffic. We are benefiting from the ongoing return from the investments in customer experience. In addition we are seeing success with enhancements to the service model to strengthen customer engagement. Keeping our assets fresh also remain a top priority. We tested multiple design prototypes for our interior remodel program. The new design modernizes the look while expanding the off-premises room to handle the higher expected order volume. We are starting a soft role this year and expect to ramp up in 2020. We are also relocating Outback restaurants as quickly as quality sites become available. Given the strength of the pipeline, we are on track to relocate 11 restaurants this year. This relocation program continues to deliver impressive results and recent relocations are generating sales lift well in excess of our 30% target. Outback remains well-positioned to take further market share. Chris will provide more detail on the quarterly sales performance at Carrabba's, Bonefish and Fleming's in a moment, but let me briefly summarize the key initiatives we are employing across these brands. Number one, invest behind and simplify operations to enhance the guest experience. Number two, offer unique and brand appropriate programs such as BoneFish 3-course Lobster Dinner, Fleming's Uncorked Wine Platform to drive frequency. Three, continue to opportunistically remove unprofitable discounting. And four, invest in our people to continue to lower turnover and increase engagement. Moving to international. Brazil comps were up 3.5% with positive traffic and an improving economic and political environment. The underlying fundamentals of the business remain strong. As you know we enjoyed very high brand regard and consumer engagement in Brazil. Not only is the base business strong, but our new restaurants continue to generate the highest returns to the portfolio with sales well above expectations. The market is underpenetrated and we are very well-positioned to capture this opportunity. We have more than doubled the number of restaurants in Brazil over the last six years and now have 99 Outbacks in the country. We believe we have the potential to build at least another 50 Outbacks in Brazil. In addition we have exceptionally strong leadership team in Brazil that has the capability to introduce and develop other brands in the country such as Abbraccio which currently has 12 locations. Brazil, which is on a one month's lag, started the third quarter with an impressive 27% comp sales increase in June. Given the high consumer appeal and outstanding operations, our new marketing programs are providing a very significant lift. We are also benefiting from a more normalized sales environment as we lap the lingering effects of the Truckers' strike. The Brazilian market has significant potential and we are seeing stronger trends emerge. Since the presidential election last October, the overall macro environment in Brazil has improved and expected pension reform while the government is expected to bring further stability and confidence to the market. In addition investor sentiment is changing and capital inflows have grown dramatically this year. We are encouraged by the recent positive developments and are well-positioned to capture this momentum. Now turning back to the United States. The off-premises business continues to perform very well. Delivery is now available in over 630 locations across Outback and Carrabba's as of the end of Q2. These locations are exceeding internal benchmarks against several key metrics including delivery time and the business is profitable. With the majority of the rollout complete, we will leverage our increased scale through additional marketing tactics to drive awareness. Over the past two years we've been developing our own in-house delivery platform while simultaneously testing with third-party companies to fulfill our strategy of omni-channel access. We have learned the frequency and behaviors of our off-premises consumers and our research and results suggest this is a different type of customer with distinct purchasing patterns. Having our full available where, when and how our customers want it is key to becoming a consumer centric, agile company of restaurants. We recently came to terms of the national third-party delivery provider. This channel will complement our existing platform. Importantly this will help expand our reach to customers who are loyal to the third-party delivery companies. We are excited about the prospects ahead to capture more of the growing demand for enjoying restaurant meals at home. Our market test suggests this will have a significant impact on comp sales over the back half of the year once this contract is completed. The Dine Rewards loyalty program now has over nine million members. The program is driving strong engagement across the portfolio. We are leveraging the rich data we have collected over the years to enhance the customer segmentation opportunities. This includes deploying new experiential features targeted to our most valuable Dine reward members. Our investments in CRM strengthen engagement through customer centric communication while providing a higher return from marketing spending. These investments and key platforms help fortify the core business and expand our reach to new and existing customers. We will continue to leverage our scale, portfolio of brands and data analytics to enhance engagement and drive increased profitability. In summary, we feel very good about the quarter and the sales layers we have in place to support continued momentum and earnings growth. Before turning things over to Chris, I want to address one other matter that came up during the second quarter. Much has been recently discussed about African swine fever and the potential impact it may have on the industry and Bloomin' Brands in 2019 and 2020. Given the negative characterizations and fears that have been published, it is important to offer a perspective on the facts as we know them today to help alleviate some of the concerns. Number one, our commodity basket is largely locked for 2019 and our previous guidance of approximately 2% increase in commodities is in great shape. Number two, at 3% food cost, pork remains the small part of our overall commodity mix. Third, we realized that we may have some substitution impact on other proteins, we have a talented supply chain and R&D team that does a great job creating menus, procuring product and managing food cost. And we have many years of experience working through various inflationary cycles. I am confident in their ability to navigate this environment and we should be able to manage commodity increases in future years within our historic range. Our supply chain team is already far along in our plans for 2020. And finally, we have many ways of addressing increase in commodities. These include among others; one, the make-up of our 2020 promotional calendar; and two, continue to work our suppliers to pursue productivity opportunities in our supply chain. Let me sum this up by saying, we do not expect African swine fever to cause us any issue in achieving our stated goal of 10% to 15% annual increase in total shareholder return while expanding operating margins in 2020 and beyond. And with that, I'll turn the call over to Chris Myers to provide more detail on Q2.
Chris Meyer: Thanks, Dave, and good morning, everyone. I'll kick off a discussion around our sales and profit performance for the quarter. I'd like to remind everyone that when I speak to results, I'll be referring to adjusted numbers that exclude certain costs and benefits. Please see the earnings release for reconciliations between non-GAAP metrics and their most directly comparable U.S. GAAP measures. We also provided a discussion of the nature of each adjustment. With that in mind, our second quarter financial results versus the prior year were as follows. GAAP diluted earnings per share for the quarter was $0.32 versus $0.28 in 2018. Adjusted diluted earnings per share was $0.36 versus $0.38 last year. When evaluating our results, it is important to keep in mind that our $0.38 from Q2 2018 included a $0.02 benefit for the amortization of deferred gains from sale-leaseback transactions. Upon adoption of the new lease accounting standard, we no longer recognize these deferred gains in our financial statements. If you exclude this $0.02 impact of the new lease accounting standard from Q2, 2018 results, our adjusted EPS would have been $0.36. Total revenues decreased 1% to $1 billion in the second quarter. Total revenue decreases were primarily due to unfavorable FX translation and our decision to refranchise 18 Carrabba's restaurants earlier this year. Keep in mind that the Brazilian currency depreciated significantly starting in Q2 of 2018 and has remained elevated since that time. We are hopeful that year-over-year FX variances will be less magnified for the balance of the year. U.S. comp sales were up 0.6%. This marks the seventh consecutive quarter of positive comp sales for the combined U.S. portfolio. U.S. traffic was down 1.4%. This result was lower than expected but ahead of the industry driven by a couple of key factors. First, as with last quarter, we saw an opportunity to reduce discounting significantly across the portfolio particularly at Outback where discounting was down 21% from last year. This had an estimated negative 100 basis point impact on traffic at Outback. And second, overall, category traffic was down 100 basis points sequentially from Q1 to Q2 and was at its lowest point since early 2018. We did see some impact from this softness in our Q2 traffic. In particular Florida and Texas where we have 25% of our company-owned restaurants have remained more challenged than anticipated. We do not anticipate this underperformance in Florida and Texas to be a long-term issue. Importantly though, despite these factors, our Q2 traffic outperformance versus the industry increased 50 basis points from Q1 and is a reflection of ongoing momentum in our investments in food and service. Given this momentum and the anticipated lift from our impending delivery partnership, we do expect traffic to build over the back half of the year. In addition, this expected improvement gives us line of sight to be within our 2% to 2.5% comp sales guidance range for the year. As it relates to our concepts, Dave discussed Outback's Q2 results, but I wanted to provide more context on our decision to pull additional discounting out of the system. As we have discussed, Q2 traffic included an opportunistic 21% reduction in discounting relative to last year. We estimate that this negatively impacted Outback's traffic by approximately 1% in the quarter. Most of this is related to reduce circulation of traditional marketing vehicles. There is also a natural pickup in check average that accompanies this strategy which helps the overall comp sales result, but does not fully offset the negative impact to traffic. We are comfortable with this trade-off given the quality of traffic that is coming into our restaurants. This quality is enhanced by the improved ROIs on our marketing programs and the monetization of our investments in food and service. One other note related to Q2 Outback traffic. The timing of the Easter holiday reduced Q2 traffic by 60 basis points. Outback was disproportionately impacted by the later Easter than was the rest of our casual dining portfolio. Taken together with the approximately 100 basis point impact from discounting, Outback's traffic was negatively impacted by an estimated 160 basis points from these two items. Carrabba's comp sales were down 1.6%. Although, we are seeing strong growth in our off-premises business through catering and delivery, Dinner traffic soften in Q2 consistent with the industry. We are confident that our focus on operational simplification, our growing off-premises of business and the recent launch of our $10 bring Home Made Home program will help improve dinner traffic in the back half of the year. Bonefish Grill comps were up 10 basis points driven by our new lunch offerings and the success of our three course lobster dinner promotions. These differentiated occasions helps traffic improved from Q1, despite the softer industry trends. We remain excited about the future growth potential of Bonefish Grill, as we continue to revitalize this strong lifestyle brand. Comp sales at Fleming's were up 1.6% and outperformed the high end category benchmark. Importantly, all revenue centers at Fleming's experienced growth in Q2, including our main dining room, our bar and our important private dining business. We are pleased with how Flemming's is maximizing its opportunities to drive traffic and differentiate itself in the competitive high end steakhouse category. Adjusted operating income margin was 4.6% in Q2. As Dave indicated, this was up an impressive 80 basis points after adjusting 2018 for the impact of the lease accounting change. This represented the third consecutive quarter of significant margin growth. At our Investor Day, we laid out the multiple levers we will utilize to drive sustained margin expansion. These include, increasing our average unit volumes in the U.S.; higher marketing ROIs, which includes a measured discount philosophy; ongoing productivity efforts; overhead management and growing our Brazil business. In Q2 each of these levers contributed to our margin improvement. We remain ruthlessly focused on our commitment to grow margins and closing the margin gap to our peers. Moving to tax, our adjusted Q2 tax rate was approximately 5%. Our Q2 tax rate was in line with our expectations, but it is worth noting that we faced a $5 million year-over-year headwind from the lapping of legacy stock option exercises. In Q2, we repurchased $107 million of stock. Our company generates significant free cash flow that allows us to invest in the business, pay down debt and return cash to shareholders. While, we remain disappointed with the valuation of our stock, given the consistency of our performance over the last two years, Q2 did provide us with the ability to opportunistically repurchase shares. Finally, we are reconfirming all aspects of our guidance including our expectations for comp sales, margin growth and EPS for the year. In summary, Q2 was another outstanding quarter of margin growth for Bloomin' Brands. As we look to the back half of the year, we are confident that we have made the necessary investments to drive healthy traffic into our restaurants. We are excited for the launch of our new delivery partnership which we expect will accelerate incremental occasions at a healthy margin. Importantly, our strong start has positioned us well to deliver on our 2019 objectives. And with that we will now open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jeffrey Bernstein with Barclays. Proceed with your question.
Jeffrey Bernstein: Thank you very much. Just two questions. The first one on the 2019 guidance. Obviously comps remain the focus. And it does look like the first half U.S. combined being a 1.6 is still well below your full year guidance. I'm just wondering if you could prioritize the factors that give you confidence in the reaccelerations whether there's anything that maybe July provided you some relief or any kind of color in terms of the confidence? I know you mentioned delivery maybe you could provide some color in terms of why you think delivery will be a significant acceleration or what level of acceleration you'd expect from that in the back half? And then I have one follow-up.
Dave Deno: Good morning. First of all stepping back on Q2, our businesses outperformed that both on sales and in traffic. And every one of our businesses took share. So we're very pleased about that. And we're able to do that and grow our operating profit by 20% in the quarter. Now as Chris mentioned in Q2, and I mentioned at Outback we made some conscious decisions to pull back on discounts with discounting down 21% that had 100 basis point impact on traffic. And we will continue to evaluate our discounting PPA trade-off during the year. And so we'll continue to do that as we go forward. And that's just a bit of a perspective on Q2. Now as the balance of the year is moving forward. We've made over $50 million of investments in our base business primarily at Outback and we continue to reap those rewards and we'll see those rewards in our business, the back half of the year especially as we continue to grow our key customer measures. Number two, we are the leader in casual dining and off-premise and we will be soon announcing a partnership with a third-party delivery company that's going to help our sales growth. This is a new channel for us and we will keep our existing delivery channel in complement to this new channel. So we are very enthusiastic about the sales gains that this provides and the terms are very favorable to the company. We also have Dine rewards which have that enrollment growth. We have over 9 million members. We're going to continue to look at our marketing spend. And finally we're going to look at the ongoing benefits and relocation, remodel program at Outback. And then Jeff, I just want to say, so the U.S. business question but I hope you heard that our Brazil business is very strong and an improving environment and comp sales were up 27% in June.
Chris Meyer: And Jeff, this is Chris. I think just one thing I would add to that is that, part of this third-party delivery partnership optimism comes from the testing that we've been doing internally with third-party providers. We've seen significant lifts. It's just been up into this point in time where the economics of third party. Now they make more sense for us, so that's why we have the optimism on the delivery side.
Jeffrey Bernstein: Got it. And then you mentioned the discounting reduction, which I know you mentioned 21% or traffic 100 basis points. Would we expect similar headwinds in the back half of the year? And just curious, how you'd even go about measuring something like that?
Dave Deno: Well, you could take a look at our -- we have a very sound understanding of what our discounting does on our traffic business and everything. So we've got a really good understanding of what that does to our traffic during a particular quarter. And Jeff, I'm not going to give -- for competitive reasons, I'm not going to get into what we're going to be doing going forward. But we're always going to be looking at the discounting and PPA trade-off as we go forward. But we've been really pleased with the discipline that we've shown on discounting in our company and you can see that in healthier traffic and improved profitability.
Jeffrey Bernstein: Got it. Thank you very much.
Operator: Our next question comes from the line of Jeff Farmer with Gordon Haskett. Please proceed with your question.
Jeff Farmer: Great. Thank you. You guys spent the last, I think, it was three to four years building out that direct delivery capability. A couple of things. I'm just curious, what delivery sales dollars are needed to break even on that investment as it stands now? But looking forward as you bring in a third-party to participate in delivery, what happens to those economics and that investment that you've made to already build out your own internal delivery capability?
Dave Deno: Well, we're going to leverage those economics and we're well above breakeven, delivery is profitable. We've got our own channel and we've got a multichannel opportunity now with a third-party provider. Importantly, in our testing, the third-party provider provides us access to a customer that we typically don't see in our own channel. So we're going to use our own channel to really grow the business, improve profitability, improve scale and we've got our third-party opportunity in front of us. Jeff, the delivery piece for us, that investment that we made, we've invested in infrastructure, culture, service, which has resulted in increased sales and profitability. That exists for us today. So the ability for us to plug-and-play a third-party will be very easy for us and then as we go forward continuing to expand the information and our service on our own channel will be important as well. So we're very, very enthusiastic about the multichannel capability this spring. And this is something we've been talking about for quite some time.
Jeff Farmer: And just one more unrelated follow-ups. So a lot of conversation about the international segment. You called out some of the strength and some of the optimism that you have moving forward with international. But beyond sort of a, let's call it, mid-single-digit same-store sales growth level or just a strong same-store sales growth level. What is the nature of the improving margin opportunity in that segment?
Dave Deno: Well, what we see, Jeff, is as we get stronger and stronger overseas. We've got absolutely wonderful business team in Brazil that knows how to leverage costs, grow sales. And you're seeing that flow through to the bottom line. And, I think, we also have an opportunity to develop more and more restaurants going forward. What's really interesting is, I talked about the 99 restaurants we have at Outback in Brazil and we continue to open them. And they've been opening well above our expectations. So when you look at the openings that we're doing, going into some new markets, filling in some markets, the Outback opportunity there is very, very large. And then we've got 12 Abbraccio's with the economics improving every single day. So the combination of a really strong management team with the opportunity in the marketplace with a number one position by far, great locations. This is all coming together very strong for us and is a underappreciated part of our portfolio that really provides a lot of growth for us.
Chris Meyer: Yes. And the only thing I would add is that, I think, that when you look at the Brazil business, all the same levers that we talk about driving margin improvement domestically, also hold true for Brazil. When you think about all the things we talked about at Investor Day. They've just done an incredible job of capitalizing on those opportunities, particularly on the top line.
Jeff Farmer: Thank you.
Operator: Our next question comes from the line of John Ivankoe with JPMorgan. Please proceed with your question.
John Ivankoe: Hi Thank you. First, a clarification. So June for Brazil will be reported in the third quarter correct?
Dave Deno: That's correct. We're on a one-month lag in Brazil, third quarter.
John Ivankoe: Okay. And, yes, so how different were the comparisons in the third quarter of 2018? In other words, I mean, it would be easy to run away with that 27% comp. But how different were the comparisons in Brazil in July and August as we think about setting expectations for that important division?
Dave Deno: Yes. What we have there, John, is we had -- we're lapping a truck restrikes, we got the benefit of that. We've talked about that in the script. But also we had a really successful promotion down there in the month…
Chris Meyer: The last month of the quarter.
Dave Deno: Yes, last month of the quarter. So it's really, really, really, really good. And so, yes, the benefit of the Trucker's strike will moderate as Q3 goes along. So you necessarily can't just keep moving like that. But it was a really, really, really good performance for us.
John Ivankoe: Okay. Yes, absolutely. And then, secondly, on the G&A side obviously some very notable -- excuse me, very notable decreases in that line year-over-year. How much of that was just kind of temporary cost containment universes? How much of that may be structural and permanent, as we think about setting the model going forward?
Dave Deno: John, we have a cost management opportunity in our company. We're pursuing it. We continue to look at costs that the customer doesn't see at our infrastructure. These are permanent reductions that we'll continue to do going forward. So it's an opportunity for us as we move forward.
John Ivankoe: A second quarter a run rate number? Or is there a potential for that to even be lower.
Dave Deno: Yes. I think that we will stick to the idea of us being flat to down in G&A expenses as the year progresses. So, yes, I wouldn't get too specific in terms of using Q2 as a run rate.
John Ivankoe: Thank you.
Operator: Our next question comes from the line of John Glass with Morgan Stanley. Please proceed with your question.
John Glass: Thanks very much. First, just on back to the reduction of discounting it Outback, I've sort of lost track over the time. We've talked about this for a while and it's been beneficial to margins and higher quality traffic. But where are we, if we step back in the last couple of years either, like, if you want to index it and say beginning of this process we're at one 100 and now we're at 50% reduction or something like that. And specific to your back half guidance, since you're expecting comps to accelerate. Is it fair to say you probably aren't likely to do as much reduction in discounting in the back half? Or is that not fair?
Dave Deno: Yes. I would say a couple of things. One, it's really difficult to say relative to indexes, et cetera. I would say this, discounting will always be a part of our portfolio. It will always be a part of the narrative. There is a role for discounting within the portfolio. But I think that just as we evaluate this, John, quarter-to-quarter we make the call on whether or not we think that it is the right thing to do, relative to the LTOs are running, et cetera. So I think that, it's going to be really difficult for me to benchmark where we are in this journey and how much farther we have to go, other than the fact that we're going to make that decision as we move forward on a quarterly basis. Again, we're growing this business the long term. We're trying to see this idea of building long term healthy sustainable traffic growth that isn't reliant on discounting as a way to drive the comp sales results.
John Glass: Okay. And then just on adding the third-party delivery agent. One is, I presume, since we haven't heard about it yet, it's July or late July or early August. So maybe this is -- when you think about the comps sequence or the benefit from it? I presume, you're thinking more in the fourth quarter versus the third? And are you allowing -- is this an aggregator that you're going to use a marketplace and you were going to deliver the product, because you've got the capability? Or are they going to complement your capability? Or why not? I guess, said another way, use their ability to capture new customers, but have your own delivery? Because that might be a cost savings to you?
Dave Deno: Yes. John, to answer the second question, it's going to be both. And it's multichannel. It's an opportunity we're going to capture and we're going to use both opportunities with a third-party provider and we should see some benefit in comps in the third quarter because the agreement is very close to being done, and with obviously a bigger impact in fourth quarter.
John Glass: Okay. Thank you.
Operator: Our next question comes from the line of Matthew DiFrisco with Guggenheim Securities. Proceed with your question.
Matthew DiFrisco: Thank you. Just had a couple of follow-ups there. With respect to the discounting, could you say then -- I didn't get that clear or not if it's going to be similar in Q3 as it was in Q2 as far as a 21% haircut and the potential impact to traffic. Can you comment on that for the third quarter?
Dave Deno: Yeah sure. Matt, we aren't going to get that kind of detail because of some of our competitive nature of things, but we will continue to look very carefully at the amount of discounting that we're doing versus competitors and things and we're very pleased with where we're going on the discounting piece. I don't want to get into Q3. It looks like this, Q4 looks like this. But we will continue to address the discounting piece very well. And as Chris mentioned, it will always be part of our portfolio, but I think we'll continue to really take a look at the trade-off between discounting and profitability. And our longer term goal, of course, like we've always talked about is to have our pricing be less than inflation to help with the value equation there.
Matthew DiFrisco: Okay, thank you. I guess just a little bit of a follow-up on that. What's changed really in -- this is a large amount of adjustment on the year-over-year basis at discounting. Is this a long-term plan and philosophical change of management or the positioning of the brand? Or is it the competitive environment that potentially the licenses out there for you don't need to discount as much. And it's a more rational environment?
Dave Deno: We've worked for a long time in our company in the last few quarters we've been talking about this for a while is to build a healthy, sustainable, ongoing, organic traffic. And the drug of discounting is -- you got to be very careful about that. And you can't, you can't rely on that to grow sales. So we will -- like I mentioned earlier we'll always look at the trade-off from PPA and discounting. But as we look at the cost opportunities in our business, the productivity opportunities in our business as we look at what we -- on a price below inflation, we want to improve the long-term value equation for our customer while investing behind key elements in our business in food and service and we will continue with that strategy.
Matthew DiFrisco: Excellent. And then just one number, I wanted if you could disclose how much delivery was for the Outback brand? And then I just had a comment -- I wanted to clarify. Did you say that Texas and Florida where the weakness was limited to Q2 and you're already seeing a slight improvement in that? Or is -- how does that factor into your two -- your second half stronger comp outlook as far as those two regions participating in driving some of that?
Chris Meyer: Yeah. We're not getting the specifics related to Q3. I would say that if you look at last year and how our Outback business in particular performed in Florida and Texas that would certainly strengthen the first half of the year in those regions. And then as the year progressed that kind of lift when you get to the fourth quarter. So I think that if you use the two-year thought process. That gives us a lot of optimism that as we get particularly into the fourth quarter you're going to see some strength. And then the other question. Yeah, the other question was related to the delivery. Yeah as you know we don't specifically call out delivery. We talked about it in the context of off-premise and dining. So off-premise dining at Outback was about 14% -- 14.1%. That was up about 18% year-over-year.
Matthew DiFrisco: Thank you.
Chris Meyer: Sure.
Operator: Our next question comes from the line of Alex Slagle with Jefferies. Proceed with your question.
Alex Slagle: Thanks. Just some follow-ups on the traffic acceleration in the second quarter. We talked about the discounting in the Easter impact, which makes sense. I was a little surprised that check decelerate further quarter-over-quarter despite the decrease in discounting, are there any other changes in how customers are using the menu? Or is there something else different you're seeing?
Chris Meyer: No. So yeah it's a good point. Our check average was up I think 3.3% in Q1, it was up 2% in the second quarter. So I think there's a couple of things that are driving that. As we discussed on our last call, it is our intention to be prudent with our absolute level of menu pricing and we are clear that we expect our per person check average to retch it down as the year progresses. Absolute menu price increases were lower sequentially from Q1 to Q2 but menu mix was also a pretty prominent component of that. And that's just driven more by value-oriented LTO price points. And that's going to ebb and flow from quarter-to-quarter. That's not as specific as the menu price increase comment that I made earlier. And I think that those -- a key thing to mention though is that both of those items were partially offset by the increase in check average that's associated with the reduction in discounting in the quarter. But, obviously, it was a pretty big Q1 to Q2 sequential change.
Dave Deno: And I just want to add to restate on the strategy again. We really want to be thoughtful about our pricing especially compared to inflation. We want to address our opportunities to prove productivity and cost management, which will help us expand our margins each and every year going forward, which we're demonstrating over the last three quarters.
Alex Slagle: Thanks. That makes sense. And then on the off-premise, have you seen any changes in the growth rate of the to-go business worst delivery in recent quarters? And anything to read into that? Are those two channels been growing at steady rates.
Dave Deno: They are growing very nicely. And we are finding that this is a very interesting aspect of our business.
Alex Slagle: Great. Thanks
Operator: Our next question comes from the line of Brian Vaccaro with Raymond James. Proceed with your question.
Q – Brian Vaccaro: Thanks and good morning. Just a couple on the store margins if I could. I wanted to ask about the food costs down 70 bps and also down nicely versus the first quarter. Can you help us understand what drove that? Was it the commodity basket or perhaps there were some savings that ticked up? And how should we expect your second half commodity costs to play out this ratio. Is this the ratio we should be thinking about in the back half of the year?
Chris Meyer: Yes. Hey Brian its Chris. So, a couple of things. One I would say that our productivity efforts definitely ratchet it up between the first quarter and the second quarter. So, productivity played a more prominent role in our cost of goods sold. And also there was a slightly more moderated level of overall commodity inflation in the second quarter, particularly relative to what it was in the first quarter. So, it's the whole -- the mantra that we always say is that our pricing and our productivity more than offset the inflation that we were seeing in the business. And look I think that we're going to continue to be very thoughtful about food costs as we move forward. Again not going to specifically earmark what the target would be, but I think that we're pretty optimistic about the productivity in our business and our ability to manage food costs within the commodity framework that we provided the approximately 2% inflation.
Dave Deno: Yes. And I just want to give a shout out to our supply chain team and our suppliers and our distributors. I mean to be very helpful as we work -- continue to work through this. And as I mentioned earlier these things come up in African Swine fever, et cetera, we're going to manage through this stuff. And we've got a really, really, really good team. And they've done a great job on commodities this year and they're going to do a really good job on commodities in 2020 and beyond.
Brian Vaccaro: All right. And can you remind us what percent of your basket do you have contracted in the back half of 2019?
Chris Meyer: We'll get -- I know that we're more than we were a year ago at this point in time. But we're in -- honest truth is Brian we're pretty locked in. There's always going to be some floating commodities that in seafood areas et cetera that you don't 100% lock in. But it's got to be -- 90% is the number.
Brian Vaccaro: Okay. All right. Thank you. And then any other OpEx line, that has been moving around in recent quarters. It was up this quarter year-on-year versus down last quarter pretty nicely. And I know there's the lease accounting impact in there. But can you walk through some of the puts and takes in that line?
Chris Meyer: Yes. Happy too. So, to your point, if you exclude the 30 basis point impact from the change in lease accounting. Restaurant operating expense was flat year-over-year. We have some favorability from average unit volumes and productivity. That was also general liability favorability which wasn't necessarily as large in Q1. That offset the inflation. I think on the flip side, we did have some rollout expenses tied to our delivery programs. And I think the one category that we always get asked about is marketing. There was minimal year-over-year change in actual marketing expense in the quarter. But I think on the delivery piece it's important to note that we added 145 new delivery locations over the past several months. And the rollout costs year-over-year did have a negative impact on that line. So, as we move forward, we would expect some of that to mitigate.
Brian Vaccaro: Okay. And last one for me just a bookkeeping. At Outback, how many units offered delivery at the end of the second quarter?
Chris Meyer: 494.
Brian Vaccaro: Perfect. Thank you.
Operator: Our next question comes from the line of Sharon Zackfia with William Blair. Please proceed with your question.
Sharon Zackfia: Morning. So, a couple of more questions on delivery. I guess in your test could you talk about incrementality there. And what you saw? And then in tandem with the margin recovery that you've been expecting? I mean obviously third-party delivery does come at a cost. I think you said the terms are becoming more favorable? How do we think about the margin impact of that rollout, particularly in the second half and into 2020?
Dave Deno: Yes. The test itself we really were pleased with the incrementality, it did not still owned traffic. And we are very pleased with the providers we've been working with and we see incrementality happening because just as a reminder we talked about, it's a different customer. And we also are looking to some pretty good marketing and advertising support of that delivery provider. So, it's a different customer with some marketing opportunity. We don't want to get into the terms of the deal, but I think when you look at the power of our brands, when you look at the delivery network we have built, we're in a very attractive company for a third-party provider. We've got the culture, we've got the infrastructure, we've got the systems, and we've got the processes to really maximize this opportunity. So, Sharon looking at our margins in the balance of the year and into next year based on the terms that we see them, we do not see an impact on the margins going forward.
Sharon Zackfia: Can I ask just one follow-up because I know you were testing with four different third-party providers? When you go national with this entity, are you dropping the rest or will the rest still remain in different forms of test?
Dave Deno: We are sorting that out as we speak. More to follow.
Sharon Zackfia: All right. Thank you.
Operator: Our next question comes from the line of Gregory Francfort with Bank of America. Please proceed with your question.
Gregory Francfort: Hey guys. Just one housekeeping and then a question. I think getting back to John's question on Brazil, what's the lap for the month of June from a year ago? And then maybe the longer term question is Dave, you had a few months in the CEO role, can you talk about maybe major strategy changes you've put in place so far that have differed from the prior strategy and just frame up what you've tackled so far? And maybe what you're focused on now going forward? Thanks.
Dave Deno: Sure. Last year June we were down 10%, so it's much more than just the lap of the Trucker's strike, the 27% up. I was part -- working very closely with Liz Smith, part of the strategy that we're now implementing, which I believe in very, very much. It's a very sound strategy. It's playing out well. We've got the sales -- the good traffic gains. We've got the sales improvements. We've got margin expansion. I think all those things are coming together. I mean, I think what I bring to the CEO role has a long experience in the restaurant industry deep focus on restaurant operations, building restaurant capability, looking at how we can continue to improve operations, looking at some cost opportunities in the company those kinds of things as we augment the strategy. So a very, very operating focused approach a cost opportunity approach building on the strategy that we already have. The other thing that I bring is, a deep experience in international restaurant operations. I've got a long career in that part of the world and that part of the business. And I think I can continue to bring value to the company in that arena. That's what makes me so thrilled about what we're seeing in Brazil and other places as we go forward. We think we can accelerate and continue to improve on the number of franchise openings, but more to follow-on that in future calls internationally. But I really want to stress our international business as well.
Operator: Our next question comes from the line of Jon Tower with Wells Fargo. Proceed with your question.
Jon Tower: Hey great. Just a couple. Well not specifically asking about your current plans for the business in the third quarter or the fourth quarter. Can you discuss your approach to how you might be discounting in the future relative to the past or doing promotions? Meaning, are you guys pulling different levers like say the Dine rewards channel? Or perhaps even using free delivery as a tactic to get traffic back to the stores where you didn't have it in the past? And then another one after that please.
Dave Deno: Yes. Jon just as a reminder, again traffic -- deep industry across all of our brands and we took share. So, just stepping back, this -- when you build sales and healthy traffic, you really take a holistic approach. You have to look at pretty much everything. You got to look at the PPA discounting trade-off. You got to look at different channels. That's why we're enthusiastic about the third-party delivery opportunity while expanding our existing channel. You got to look at service and food elements in the restaurant. You got to look at the PPA discounting trade-off. And I'm not going to get the detail as far as what we're going to do there. But I think the company's done a really good job, having the discipline to walk away from unprofitable discounting and build healthy traffic. That's where we're going to be going. So if you look at the sales story within the company, you've got to look at the various levers, dine rewards, capital investments in remodels, delivery, building back, improving sales in our restaurants via food investments and service investments. All those things coming together in the U.S. really, really, really will help us. And then Jon just going back again, obviously, we'll take the same efforts internationally as we grow our business over there.
Chris Meyer: Yes. And I'd say just to add that, I think one of the guiding principles that we keep coming back to though as it relates to check average that sort of thing is at lower levels of absolute menu pricing as the year progresses as a kind of a guiding principle to provide value to the consumer.
Jon Tower: Okay. And then just on the unit count side, I think the gross closures year-over-year and actually gross openings too -- gross closures were higher year-over-year, year-to-date and openings were lower. So can you just discuss what's going on particularly with the closures across some of the markets?
Dave Deno: Yes I agree. It was an unusually high number of closures. But it's not reflective of a trend or cause any concerns related to our guidance, sales or profits. A lot of these closures were franchise locations both in the U.S. and internationally. In the U.S. for example, we had a few routine closures with our West Coast franchisee. And then we're also doing some experimenting with some small box operations internationally that we decided not to continue. Again, very low impact to sales or profit, but it does have an impact to unit counts. Nothing to be concerned about long term.
Jon Tower: Thank you.
Operator: Our next question comes from the line of Andrew Strelzik with BMO Capital Markets. Proceed with your question.
Andrew Strelzik: Hey good morning. First one from me, I wanted to ask a question on Carrabba's. Could you talk about the state of the turnaround of the business there? What was the driver of the negative price mix? And I guess, I was a little surprised that given that you didn't see better traffic response. So just how do you think about how the business is trending there with respect to the turnaround?
Dave Deno: Yeah sure. I mean, one of the benefits of a portfolio is to look at some of our businesses and have them grow and recover where we want them to be at a more natural place. And in the past, we were like to headwind on some of the promotional activity there at Carrabba's. So we're really trying to build back healthy sustainable traffic, improve operations, improve our food quality, capture the off-premise opportunity and give that business the time to make the right long-term decision. So what you'll see from us is moving from mass marketing to more personalization through our digital efforts. You'll see improved product offerings at Carrabba's. You'll see service elements coming together. You'll see the delivery business coming together for the off-premise. But we're not going to take a short-term approach to this business as we build it back to the level that we want to take. And that's the benefit of having something in a portfolio that we can improve and grow.
Andrew Strelzik: And specific to Q2 on the price mix side the drivers there?
Chris Meyer: On the PPA side you're saying?
Andrew Strelzik: Yes.
Chris Meyer: Yeah. I think that we talked specifically on absolute levels of menu pricing coming down over the course of the year. So that certainly was lower than it had been particularly in the first quarter. Menu mix was a big driver as well. And that was a little bit of a shift as well from Q1. So menu mix was bringing it down. We focused a little more on value-oriented LTOs price points in the quarter. And like I said the offset to that slightly is the reduction in discounting, which did boost check average a little but not nearly enough to offset the other two pieces. But like I said, I think that again our focus is going to be when you look at absolute levels of menu pricing to ratchet that down over the course of the year and use that as a guiding principle.
Dave Deno: The other thing about Carrabba's is what we're seeing is a really wonderful opportunity with Abbraccio in Brazil. The Italian segment is traveling well and that's a nice opportunity for us, so that's something else that the brand brings for us.
Andrew Strelzik: Very helpful. And if I could just ask one on the commodity side, you seem pretty optimistic about the ability to navigate through any potential inflationary issues. Have you gotten the head start on 2020 in terms of locking in some of the commodities there?
Dave Deno: We are -- at this time of year, we're pretty far along in our 2020 planning. I won't go into details a locking yet because we still have a ways to go, but given what I've seen from the supply chain team and their capabilities. We really, really feel good about where we stand for next year. So I think some of the concerns regarding African flu or fever was a little elevated Andrew, and something that I just want to kind of set the record straight on that.
Andrew Strelzik: Great. Thank you very much.
Operator: Since there are no further questions left in the queue. I would like to turn the call back over to management for any closing remarks.
Dave Deno: Well, we appreciate everyone joining us today. We hope you have a chance to get into our restaurants and enjoy our great food and service, and we look forward to updating you on the portfolio on our next earnings call in -- at the end of the third quarter. Thanks everyone.
Operator: This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.